Isaac Lima: Good afternoon, everyone. Welcome to Adyen's H2 2025 Earnings Call. My name is Isaac, and I'll be facilitating a short discussion on our business progress and financial results with our Co-CEO, Ingo; and our CFO, Ethan. After that, my colleague, Maggie, will host the Q&A section. [Operator Instructions] With that, let's get started. Now Ingo, what are some of the highlights of the second half of the year? And how would you reflect on our execution and the momentum in the business right now?
Ingo Uytdehaage: Yes. Thanks, Isaac. I look back at a very solid second half of the year. And if I look where we are in the execution of our long-term plans, I'm very pleased. And I would like to highlight a few things. So first of all, the continued growth with our existing merchants. Take Uber as an example that we also highlighted in our shareholder letter. They continue to grow with us and also launch new products like kiosk. At the same time, we also launched with new customers like Starbucks, a company that we would love to work with for a long, long time, and we finally got on our platform. And I'm really pleased to see how they've rolled out very quickly with us in Europe. At the same time, we continue to invest also in new markets. If you think about the fact that we launched in Japan a few years ago, we're now seeing a lot of traction also with the domestic merchants in Japan. That's a very important next phase of our growth there because we always start with international merchants going into a country and then the domestic phase is the next phase of our journey. And we are now there, and that's very, very promising. Very similar to India, also a country where we've been active for a couple of years. And there, we see now a lot of interest from the big international customers that we have on our platform to also launch with us in India. So that's all very exciting, and that gives me also a lot of strong view on how we're going to grow in the next couple of years. So I'm also very looking forward to that next phase of our growth as a company.
Isaac Lima: Clear. Thanks, Ingo. Ethan, could you maybe help us connect all of that to our financial performance in this period?
Ethan Tandowsky: Yes, absolutely. Let's start with net revenue. So net revenue in the second half on a constant currency basis grew 21%, very consistent growth with what we saw in the first half of the year. On a reported basis, growth was a bit lower given the headwinds that we're seeing with the U.S. dollar. If you look at where that growth comes from, it's again driven by our building blocks. And the biggest part of our growth in any given year comes from the growth with our existing customers. We continue to gain share of wallet with those customers, whether that's broadening markets or products or sales channels, and we grow alongside them as well. We also saw that the cohort of new customers we added to the platform in 2025 was a very strong one. We're seeing strong demand from new customers across each of our pillars. And I think that shows the strength of the growth that we're seeing to date. If you then look at EBITDA, EBITDA grew 23% in the second half and EBITDA margin was 55% for the second half. We're continuing to make investments in our team as we grow the team to go after the opportunity that we see on the revenue side over multiple years. But we're also being smart about where we invest and how we automate, and we're very focused on making sure that we scale our process, whether that's leveraging AI or growing processes and scaling them along the way as we've always done to make sure that the operating leverage inherent to our business model continues to show through. On the CapEx side, we also had around 5% of CapEx as a percentage of net revenue in the second half, very consistent with what we've seen over the course of the year.
Isaac Lima: Great. That's clear. Thank you. And in addition to that, could you help us understand what financial performance look like across our pillars? And maybe if you have some stories to share with us of what's going on in the pillars?
Ethan Tandowsky: Yes, sure. Let's start with Digital, our largest pillar. So Digital continues to have consistent strong growth coming from a range of verticals, right? It's our largest pillar. So there's a number of verticals we serve within the Digital pillar, but we're continuing to see real strength, especially in delivery and mobility and also content and subscription. We're also seeing that we're able to employ our expand -- land and expand model within our Digital customers. And sometimes, again, like I said, that's to new markets, but sometimes it's also new sales channels. And as we add in-person payments with some of our customers, we also see some of our customers move into the Unified Commerce pillar, something that's just a reflection of the execution of the strategy we're employing. If you think about Unified Commerce then, we're also seeing real strength within our Unified Commerce pillar. And that's across a number of verticals, right? It's retail, it's food and beverage, it's hospitality. If you talk food and beverage, then one of the biggest food and beverage companies in the world, Starbucks that Ingo mentioned, is one we're very proud of and that we talked about in this letter. We started working with a licensee of theirs, Alsea in Mexico. And through that relationship, really built a relationship directly with Starbucks as well and now have rolled out a lot of stores in Europe where we service them directly. If you connect that then to why we win in Platforms, which is our third pillar, you see that a lot of the benefit and value we can provide to customers is again because we have that in-person offering and online, right? And a number of our platforms are providing services both in person and online. And because we can help them unify that, we're able to deliver a significant value to them and help them grow their businesses. They're also able to come to us beyond payments, right? And the offering on the embedded financial product side is a reason that they're future-proofing their business and able to scale into more revenue streams over time. So Platforms continues to be our fastest-growing pillar, and we're seeing very, very strong traction there.
Isaac Lima: Clear. Clearly, there's a lot going on across all 3 pillars. Thanks, Ethan. Now back to you, Ingo. Back in November, we had our Investor Day here in Amsterdam. And then you introduced the third layer of our foundation, Dynamic Identification. Could you give us a short update on what's been going on with Dynamic Identification since then?
Ingo Uytdehaage: Yes, sure. So Dynamic Identification is our way of applying AI to the large data set that we have. So we have trillions of interactions on our platform that we see, and it helps us to build better products on top of this foundational layer, and that's why it's so important to us. Two products that I'd like to highlight that we've been working on in the past couple of months to make our offering, our value offering to customers even more important. The first one is Personalize and Personalize is part of Uplift, so the product suite that helps to increase conversion for our merchants, and Personalize helps to select a better payment method relevant for the consumer that is at the checkout. It is better because it helps to increase conversion, but it also is lowering the cost of a merchant. And that combination, of course, is the thing that merchants are looking for. The pilot results demonstrate that we can get to 6% higher conversion, at the same time, lowering cost by 3%. And I think that is, of course, very important to our customers. The second thing I'd like to highlight, and that's another area where we help our merchants is to reduce the policy abuse fraud. And policy abuse is sometimes very hard to spot for merchants because it's hard to spot in the data. And this is again where Dynamic Identification helps. We are able to spot that type of behavior by consumers earlier, and that helps merchants to stop that behavior also at an earlier stage, improving their margins on the long term. So yes, I'm very excited that we can use this foundational layer to improve these products and help ultimately to improve the margins of our customers.
Isaac Lima: Thanks, Ingo. All of that sounds great. And I suppose it's also directly connected to another really big topic in the industry now, agentic commerce. So using AI agents as a sales channel. Could you give us some concrete examples of where Adyen stands today on agentic commerce?
Ingo Uytdehaage: Absolutely. So we're working very closely with our merchants to understand what is important to them. And together with our partners, OpenAI, Google, Mastercard, Visa, we work on the protocols that are relevant for our customers. And if you define what is relevant to our customers based on the interviews that we've had with them, it's about making sure that they still keep this unique connection with the consumer behind the agent and at the same time that they build trust in the ecosystem. And trust in the ecosystem is very important because ultimately, it helps to keep the fraud levels at an acceptable level. And of course, if you think about what's important for our customers is that combination, building a trusted relationship with a consumer and at the same time, keep as a result, the fraud levels low. At the moment, the number of transactions is still immaterial on our platform. We started with it. I think that's very important. So we started with agentic commerce as an additional sales channel. And the beauty of having a single platform globally is that we basically have all the building blocks to cater it and to start growing this sales channel with our customers.
Isaac Lima: Great. Thank you very much, Ingo. Now back to you, Ethan. Changing gears a bit now towards our outlook for 2026, especially in the context of us transitioning to the yearly guidance cycle now. Could you walk us through some of the key considerations? So what informed the outlook that we published this morning for the year to go?
Ethan Tandowsky: Yes, sure. So you referenced that we now give a view on the next year. So this morning, indeed, we've shared our view on 2026. That comes off of discussions with our customers because, of course, our growth is very much driven by the growth of our customers and their priorities. And you often see that they make their road maps, they set their goals for the next year towards the end of any given year. And therefore, we are in continuous discussions with them, but more relevant discussions with them at the end of the year to understand what their priorities are. We've taken that view. So we've been in discussions with our customers. And ultimately, we look at how we can grow together to understand what our growth trajectory looks like for 2026. If you look at what we see in 2026, again, I referenced earlier the new business wins that we had last year that were strong on the platform and that will ramp up in a strong way. They'll provide support to our growth this year. If you look at the existing customer discussions, they're also very positive. There's lots of opportunity for us to continue to grow with our customers and add share of wallet, not only just add share of wallet, but also help them with new initiatives, new initiatives like agentic commerce that Ingo highlighted. We do have market volume growth as part of our growth in any given year. And there, we have the expectation that, that growth stays at the same level as in 2025. And ultimately, when you bring that all together, we've given the view that we expect our growth to be between 20% and 22% on a constant currency basis in 2026. If you then look at EBITDA margins, we continue to have the expectation that our EBITDA margin level will rise to above 55% by 2028. And in 2026, specifically, we're going to continue to make investments into the team to drive our long-term growth path. At the same time, of course, we'll focus on automation and optimization. And we roughly think that EBITDA margin will be at a similar level in '26 as it was in 2025 as we progress to that 55%-plus level in 2028. Our CapEx investment will also stay at the same level, so at 5% or less of net revenues is our expectation. And if I step back from 2026 specifically, I'm really excited about the growth potential that we have together with our customers. 2026 will be another year in that step of becoming one of the largest financial technology platforms in the world, and there's so much exciting things we'll build together with our customers this year.
Isaac Lima: Thank you very much, Ethan. Thank you both for sharing your insights with us so far. We have now reached the Q&A session of today's call. For that, I'll hand it over to Maggie, who will moderate the session. Maggie, over to you.
Maggie O'Donnell: Thanks, Isaac. My name is Maggie, and I'm going to be moderating today's Q&A portion of the call. [Operator Instructions] The first question we have today comes from Hannes from Jefferies.
Hannes Leitner: I'm Hannes Leitner from Jefferies. I got 2 questions. The first one is maybe you can help us with the confidence on maintaining 20% net revenue growth going forward, if you already include 20% in your 2026 guidance at the bottom end. And maybe you can just like square that because like you talked about 2025 being a strong cohort, the APAC-based retailers channel checks suggest that they are rebounding in the U.S. And then maybe lastly, just like EMEA slowed to 17% growth. So like that's the first question on just getting this growth algo for the medium term.
Maggie O'Donnell: Okay. Ethan, do you want to take both of those?
Ethan Tandowsky: Yes, sure. Maybe let me start on 2026 specifically, and then I can get to the longer-term growth. If you think about where our growth comes from at this point, it comes from a large number of customers given the diversification we now have, right? We're diversified again across markets. We're diversified across verticals. So ultimately, we look at our growth in any given year from this diversified set of customers. Now what we see is that we are connected to their top priorities. So what they're focused on is typically where we have the opportunity to grow. If you look at 2026, there's a lot of exciting things that we're excited to work on with them, right? If you see how we can build in core markets like, of course, our expansion in North America, for instance, on one hand, that gives us a lot of excitement as do other things, like there's a lot of macroeconomic uncertainty right now. For instance, some of our international customers, they're looking at Latin America more, and that we can certainly help with them. Others are prioritizing agentic commerce and see us as a partner to help them with that. And we're very much then focused on how can we help them in this new age of commerce, right? And so depending on the priority and depending on the given year, you see that there are different priorities for our customers. What's important for us is that we are the partner they look to, to help them with those priorities. And each of them have different short-term or longer-term revenue ramifications, right? So take agentic commerce as one example. It's not going to drive short-term revenues, right? So it's not a big part of our 2026 revenue expectations. But if it's a top priority for your customer, you want to be there and you want to support them with it, and that's where we're well positioned to do it. And it will help us drive growth over a longer period of time, right? And that's just one example. So if you then connect it to beyond '26, I come back to the signals that I have, right, which are, how is new business developing. Well, new business is developing well. I think we've seen that in the new cohort of 2025 being the strongest we've seen. We continue to see strong traction with new customers. On the existing side, we continue to be the partner that our customers look to on their top priorities. I really like the Uber example we gave today in the shareholder letter and that we had a press release earlier this week on because it's an example of a customer we've had for well over a decade that again says, "Hey, these are my priorities. This is how we're looking to expand. Can you help us?" And we're there to support them, right, whether that's new markets or now the kiosks that they're setting up in airports, for instance. So it's really about for us being there to support our customers because that will drive our growth over a longer period of time, over a multiyear growth path. And that's -- those are the types of signals that I look to, to understand our growth trajectory. In terms of your last piece on EMEA, we manage our revenues, again, based on a customer lens, right? So we will see different levels of ramp-ups in different markets at different times. At the end of last year, at the end of 2024, we saw that there were some significant ramp-ups in EMEA, so we saw a stronger growth. Again, looking at EMEA, the signals that I see are also very strong. If I look at new pipeline, we're winning across all 3 of our pillars, right, Digital, Unified Commerce and Platforms. Our customers turn to us to support them in this market. I think Starbucks is a great example of that, which we referenced as well today, opening up in the U.K. and a few other markets in Europe. So we're absolutely well positioned to continue to grow there. But on a regional basis, we'll continue to see different growth rates at different times depending on how our set of customers prioritize that year.
Maggie O'Donnell: Okay. Thanks for your question, Hannes. The next question comes from Mo Moawalla from Goldman Sachs.
Mohammed Moawalla: Two for me. Firstly, I noticed you talked a lot about customer priorities, Ethan. We know that you sort of gained share within customers. Is that sort of a variable around priority mean that perhaps if your customers are prioritizing certain business that's kind of you're more beneficial to get versus more run-of-the-mill business that perhaps is more price competitive, adds a bit more kind of variability around your visibility? And then secondly, I wanted to just touch upon the long-term guide you gave at the Investor Day, you sort of committed to this 20% growth and then giving a kind of annual guidance to that. Does that still very much stand where we sit today?
Ethan Tandowsky: Yes. Let me talk to the priorities first. I think what's important is that we're working together with our customers on what's most important to them. Now what's different across priorities is when they will generate revenues, right? And so we're very much focused again on building a much larger business by helping our customers succeed and growing with them over multiple years. I used a few examples, right, in the last answer, but I'll go back to it. So our large international customers want to go to LatAm, we have a fantastic product in LatAm, we can help them in LatAm. That's a great place to support them. Or they want to focus on agentic commerce. Of course, we also have a solution which can really support them with their needs for agentic commerce as they develop. But the size of those revenues is different in 2026 than it may be in 2028. What's important for us is to be there to support and to grow with them and to support them and build together. And I think the reality is that they look to us to support them on these priorities. And I think that's what's really important. So it's not about what's priced differently. It's about what is driving revenues on which time horizon, and that's what I mean by priorities. In terms of what we shared at Investor Day, absolutely. I think everything that we've shared at Investor Day holds. What we wanted to share was a multiyear framework to help understand where our growth will come from. That's why we laid out the building blocks like we laid them out. We also wanted to share that the best way to understand our growth path in any given year is based on the discussions we have with our customer base. And that is why we want to share basically each February, our view on the next year as we get it. Ultimately, that's why we've shared the guidance that we've shared today. So everything holds that we shared in November. We continue to have high expectations for our ability to grow with our customers. And genuinely, I'm really excited by everything that I see on the path for us to become one of the largest financial technology platforms in the world truly.
Maggie O'Donnell: Okay. Thanks for your questions, Mo. The next question comes from Alex Faure from BNP Paribas.
Alexandre Faure: A couple of questions from me. I mean just elaborating on what you just explained, Ethan, around those priorities and some of them, you mentioned LatAm, agentic commerce may be yielding more results in 2027, 2028. Should we think then of 2026 as a year of preparatory work for some of your customers to get ready for some of that expansion and maybe a bit of a pause in the budget they were traditionally allocating to payment? And then my second question has nothing to do with that. It's kind of if you could update us on how you think of capital allocation. I know you touched on it at the CMD, but just curious if you have some updated thoughts there.
Maggie O'Donnell: Okay. Thanks. Ingo, do you want to take the first one and then Ethan take the second one?
Ingo Uytdehaage: Yes, sure, absolutely. So I certainly see 2026 not as a prep year. I think we have a continued dialogue with our customers about what is next. I think what -- the point that we want to make is that we see also going forward, also multiyears out sufficient projects in the pipeline that we can continue the growth that we see. And also what we said during the Investor Day that we expect to grow around 20% for the next upcoming years. That's powered basically by all the projects that we're working. And indeed, new sales channels like agentic are a good opportunity for us. But it's also the other countries like the things that we're doing with Japan, India, it's with other products like the investments that we're making in the financial products at the moment. These are the priorities for our merchants, and this is basically the fuel for our growth going forward. And that's also why we have this multiyear view on sustained growth at these levels.
Ethan Tandowsky: And on capital allocation, no, I think we outlined it again in our Investor Day in November. I think we're very much focused on the growth opportunity, right? So having the flexibility to be able to continue to invest in the business, to invest in the business as we scale revenues over the coming years is what's most important to us, but also as we scale products, right? And as we get into broader financial products, it's especially relevant how we're positioned from a financial -- from a balance sheet perspective. And so we'll continue to have this approach that we shared in November.
Maggie O'Donnell: Great. Thanks for your question. The next question comes from Nooshin from Deutsche Bank.
Nooshin Nejati: Maybe 3 on my side. First, on the Chinese platforms impacted by U.S. tariffs. Could you update us on where those relationships stand today? There have been some market expectation that you might offset part of that pressure through increased share of wallet in other regions. How should we think about that today? Is that something you're actively pursuing? Or has your approach evolved? And then on the outlook, and I'm sorry if that's, again, sort of repetition, but have you observed any incremental budget constraint on the client side, particularly relating to international expansion or new market entries that could moderate your outlook? If so, could you share a few examples of where you're seeing caution emerge and whether this is more cyclical in nature or something structural in client planning maybe? And then finally, could you help us quantify the sensitivity of your volumes and net revenue growth to any single large client? How should we think about the contribution or potential volatility from your largest customer when modeling growth for the remainder of the year?
Maggie O'Donnell: Thanks, Nooshin. Ethan, do you want to take the first question and the third one and then Ingo maybe take the second one?
Ethan Tandowsky: Sure. So on the APAC-based retailers, I think they've remained very strong relationships. They see us as a core partner. They're very international businesses, right? Maybe just to clarify on the point around LatAm, right? LatAm is actually our fastest-growing region in this half on a constant currency basis. So it's not necessarily future revenues. We're seeing that there's traction there today, right? And we've talked about a focus of some of these retailers more on LatAm, for instance, as one example. I think the important piece with them and with any of our large customers is maintaining strong relationship where they feel like as their focus shifts, if it shifts, if it stays the same, that they look to Adyen to support them with those priorities. And I think that's where we, again, feel very well positioned. So I'd say we're in a strong spot with those customers.
Ingo Uytdehaage: Yes. And the second question around budget constraints. I don't see any budget constraints when we talk to our customers. I think in times of more uncertainty, merchants are looking for innovation ways to reduce cost. And these are typically topics that we're really good at to work with them to, for instance, lower total payments cost. The example that I gave around Personalized, that's typically a project that you like to run because it increases conversion, lowers costs. So far, I haven't seen any budget constraints in talking to our customers. It's more always about what is the right timing business-wise because you can't do all projects at the same time. That's also why it's so important to work closely with our customers to see what their priorities are and make sure that we work on those priorities with them. But indeed, no constraints from a budget perspective so far.
Ethan Tandowsky: And I think you talked about volume and revenue contribution of any single customers. Of course, given our pricing model where we have tiered pricing, we'll see more impact from individual customers on volumes in any given year than we'll see on revenue growth. I think that's been quite clear also, for instance, over the last year, where we highlighted a couple of large volume customers and the impact they had on our volume growth, but we saw much less impact on our revenues. And I think that's a great development that we've seen over the past years is that we have become quite diversified from a revenue basis across many, many customers, across many markets, across many verticals. And I think that's what shows up in the consistency of our revenue growth over the last few years.
Maggie O'Donnell: Okay. Thanks for your questions. The next question comes from Fred at Bank of America.
Frederic Boulan: Fred Boulan from Bank of America. Two questions. Firstly, if I can follow up on the balance sheet point. The stock is down about 34% since the CMD. Would you consider buybacks as a signal to the market that you're focused on shareholder value whilst maintaining adequate capital to support your ambitions, especially on embedded finance? And then secondly, if you can spend a bit more time on the margin guidance for 2026. Any specific areas of investment that are driving this kind of slightly accelerated pace of hiring for '26?
Maggie O'Donnell: Thanks, Fred.
Ethan Tandowsky: Sure. Let me start on capital allocation. I think what we've tried to share is our perspective, but we should always be open to what options are available. And of course, you need to assess what your current situation is, what your current facts and circumstances are, what's right for the business at each moment. So we're certainly not dogmatic here. We constantly assess what's the right decision for the business, but we're very much focused on driving the growth of the organization that we expect of growing with our customers. And so we'll focus there, but continue to evaluate what the right approach is. In terms of EBITDA margins, the areas of investment. So we will grow the team slightly more than we grew this year, at least that's our expectation for 2026. If you think about where we invest, a lot of the same things you've heard from us, right? We're investing more in the U.S. We're investing a lot in our tech teams, in our tech hubs. So that's partially in the U.S., but that's also in other markets, think about Madrid or Bengaluru in India, where we have tech hubs as well amongst other locations throughout the world. So that's where we'll continue to make investments. We are investing in specialized skills, right? We're building out financial products. We're seeing nice inflection moment in issuing. We're seeing stronger traction in capital and in bank accounts. So we need to continue to invest there to make sure that we can continue to grow those products like we feel the opportunity exists for. And so that's where we'll make investments. I think if you come back to the overarching story on EBITDA margins, right, we're on this path already over the last couple of years, but also if we look ahead to the next few, where we think EBITDA margins will expand because we'll continue to make investments in the team. But we'll do that at a pace which allows the operating leverage inherent to our business model to still show through. And so our expectation is that we'll grow up to the 55% and above level by 2028. And each year is just a timing exercise about when and how we make those investments, given that those new investments aren't typically linked to short-term revenues.
Maggie O'Donnell: Thanks for your questions. The next question comes from Adam Wood at Morgan Stanley.
Adam Wood: It's Adam Wood from Morgan Stanley. Maybe just to dig in a little bit deeper on that EBITDA margin question for this year. It looks like you're planning to add maybe around 10% to headcount. Obviously, expecting the business to grow north of 20%. Could you just help us understand, is that the cost of people you're bringing in is more U.S. weighted than it's salaries? Is there a lot more marketing going on? If you could just square that circle of headcount growth versus top line growth, there seems to be a gap there. And maybe secondly, some of the stats you gave around Dynamic ID and some of the new products you've added to that seem really impressive. I guess a lot of your very big e-commerce merchants route pretty dynamically. You would have thought that as soon as they see those types of results coming through, the impact on volume shifting to you would be pretty rapid. Could you maybe just talk about what the barriers are to get that to happen and maybe how long it takes you to put this product in front of a customer and then actually seeing the volume start to shift more dynamically onto the platform? What's the time frame we should be thinking about for that?
Maggie O'Donnell: Okay. Ethan, do you want to take the EBITDA one, Ingo take the Dynamic Identification one?
Ethan Tandowsky: Yes, sure. So on EBITDA margin, it's driven by the team. So there's nothing else in the expense base that leads to this expectation. It's driven by the team. I think we will grow the team a bit more than the 10% you referenced, but just a few percentage points faster given the numbers that we've shared. But we're also indeed hiring more in the U.S. We're hiring specialized roles, right? If you think about what we're building out, again, in financial products. So this is really investment in the team more than investments in other areas.
Ingo Uytdehaage: Yes. And on Dynamic Identification, of course, we work very closely with our customers to see how we can help them ultimately to improve conversion because I think that's -- Dynamic Identification is in itself not a product. So one of the product suites that is built upon Dynamic Identification is Uplift. And depending on the needs of specific merchants, we discuss with them which module they like to have. So for instance, not all of our big enterprise merchants use our risk module yet. That's, of course, a conversation that we have then with them to demonstrate what we can do, how it will help them to use our risk module. But also, of course, we have a discussion around the monetization of it. So that's why it typically takes time before people just switch volumes. But we see very promising results. And also with winning the new merchants, about 2/3 of our new merchants, they turn parts of Uplift on from the start. So that's a very important KPI, and that gives us also the support that for existing merchants, it is a matter of time to explain them where they benefit and basically that we continue to expand the gap with competition on the ultimate goal of merchants, which is highest conversion at the lowest cost.
Maggie O'Donnell: Thanks for your questions. The next question comes from Justin at UBS.
Justin Forsythe: Justin Forsythe from UBS here. A couple of questions from me. Just very simply on the '26 revenue guide. Three months ago about we had a preliminary guide of low to mid-20s. Why didn't you guide for low 20s when initiating that guide in October for conservatism? Secondarily, North America growth ex de minimis for 2H seemed to be above 30% ex FX as well. Could you talk about what is driving the strength there and how we expect that to filter through in 2026?
Ethan Tandowsky: I'll take the first.
Maggie O'Donnell: Okay. Yes.
Ethan Tandowsky: Yes. Let me take the first question on the net revenue guide. What we intended to share at our Investor Day was our new approach to sharing guidance, right, which is that we go through these conversations with our customer base at the end of each year to understand what is it that's on their road map? What's in their priorities for the next year. And as we go through that process, we wanted to share the latest information that we get from them. That's why we thought if we share it in February, that will give the best insight to our -- to stakeholders, to shareholders about what to expect in that given year, given that those road maps are typically built out for, say, 12 months. So ultimately, that was -- we were in a transitionary period of going from a 3-year guide to this 1-year view. And we wanted to give the best view that we had along the way. So ultimately, now we've had those conversations, we want to give a more narrow view or better expectation of what we should expect for this year. It is ultimately what we expect for 2026, and that's why we've shared it this way.
Maggie O'Donnell: Do you want to take the North America question?
Ingo Uytdehaage: Yes, sure, absolutely. The strength in North America is the result of investing in North America for over a decade in combination with the fact that the North American market is only getting more complicated. So you see more differentiation in payment methods compared to 5 or 6 years ago, the importance of Unified Commerce. So combining off-line or in-store volumes with online volumes is very important. And it's very clear also to domestic retailers that we have a unique position in the market to help them out. So that's why the North America market is performing very strong, and we continue to invest in that market. It's our biggest investment market right now, and we also expect that to continue in this year.
Maggie O'Donnell: Okay. Thanks for your questions. The next question comes from Adam at Evercore.
Adam Frisch: Two questions. I'd like to focus specifically on the share of wallet verbiage in the release since that is obviously the center of the growth algorithm. Ethan, you talked about it a bit, but it needs to be -- I just want to refine it a little bit. Is it slower because you aren't winning as much versus the competition or their value prop is catching up to yours or they're lowballing pricing? Or is it none of that and something else? Because I think the differentiation is really important to say, is it a negative or just business as usual and things are going to ebb and flow as they go. And then the second question is on M&A. And the narrative today feels -- feeds a bit into the bear thesis of modestly slower organic growth, which to us raises a question about M&A, which you said you're open to, but you haven't pulled the trigger yet. So I think this is now a little bit more important of a go-forward story. So appreciate if you can give an update on your current thinking there around M&A.
Ethan Tandowsky: Yes. So let me start with the first. I think we haven't seen any shifts in the competitive dynamics, which have changed our ability to win share of wallet, right? The reason that we've always historically talked about the long term and why we still believe in building for the long term is because you need to follow your -- the priorities of your customers. And the priorities of your customers, they may change from year-to-year, right? You may have an opportunity to win share with them in one market 1 year and another market the next year. You should focus on what's important to them and how you can best help them over multiple years because that will ultimately get you to the largest size relationship and the most value you can provide to them. And so that's always been our plan. Now if you look at share of wallet opportunities that we're focused on this year, they'll have a range of revenue-driving time lines, right? Some of them will be more short-term revenue driving and some of them may be longer term. That's why I tried to share a couple of examples, right? We're seeing stronger traction right now in LatAm as an example. We're also focusing on agentic commerce, something that won't drive strong revenue growth this year, but over time, may, right? And as long as we're there focused on the priorities of our customers, then we know we'll be able to gain further and further share with them over time. That's the focus. So there is no change here at all. I think we're in a really good position. When we talk to our customers, they come to us to help them with their top priorities. And I think that's the key thing that we're focused on. Now each year, that may look slightly different. That's just part of building a business and building it together with them based on their priorities. As far as the second question on M&A, yes, I think nothing has shifted from November, right? The same discussion that we had back then. I think we've gotten a lot of benefit from building out a single global payments solution. We've branched out into more and more products. And so, of course, you consistently look at what's available in the market and what you can build yourself. That doesn't change. We continue to focus on building the best solution for our customers. And if an inorganic approach is what makes sense for us, we will consider it. There's nothing that we have to share. I think this is not different than our view has been over the past years, but we'll continue to evaluate what makes most sense for us.
Maggie O'Donnell: Okay. Thanks for your questions. The next question comes from Jason at Wells Fargo.
Jason Kupferberg: Jason Kupferberg from Wells Fargo. So I think you're making an important point. This is the first year where you're utilizing the new formal annual guidance approach. So can you just talk more about how you built the revenue forecast? I'm sure there's a pretty robust bottoms up here. You've referenced the client conversations. But does the revenue guide include any material amount of cushion or conservatism with respect to any of the building blocks from the Investor Day or the macro? It just seems like there's no reason growth shouldn't accelerate modestly a little bit off the 21% in 2025 in a base case because you had the strength of the cohorts in '25, you're lapping some of the headwinds around tariffs, de minimis. So I'm just curious if there's any holes in that thought process and any more insight into the actual development of the revenue guide under this annual model.
Ethan Tandowsky: Yes, sure. So if you use the building blocks as the framework, which is, I think, a good one, on the existing business side, we basically model out our relationship with every customer. We understand where the opportunities are through discussions with them, of course, and we try to get a sense of how they expect their own business to grow. Now some of them have a clear sense, also a sense they're willing to share, and others are less open to sharing their perspective, and we take an assumption on how they will grow their business. So on the existing side, we look really account by account. We look at that in detail, and we see where can we best help our customers, what are their priorities and how does that ultimately lead to our own growth in this year. That's a continuous conversation, but that gets more concrete to the end of the year, like I mentioned earlier, because that's often when the planning cycles happen for our customer base. In terms of how we think about it, we're trying to share our expectation, right? So that 20% to 22% constant currency guide that we shared for 2026, that's our expectation for this year. It's, again, off of the back of these conversations. It's the latest information we have, and we want to share that proactively as we get it, which is why we've moved to this model and plan to share basically our view at the beginning of each year. It's absolutely our expectation for '26.
Maggie O'Donnell: Thanks for your questions. The next question comes from Darrin at Wolf.
Darrin Peller: All right. So I mean, it does sound like the change in the -- to lowering the range is really just fine-tuning what you're seeing your customers prioritizing right now versus what maybe you thought a few months ago. So maybe just shifting the topic a little bit more to 2 things. One is cadence. And then the second is just overall what you're seeing in the consumer and macro. I mean, first on cadence. I mean, I would imagine just given that we're lapping APAC retailer headwinds early in the year, then it would imply second half should show a better growth profile than first. Just want to verify that first, Ethan. But then also, when we think about overall market growth, it sounded like you're saying that should be the same. Give us a little more color of what you're seeing in terms of notable outperformers or underperformers and areas in the market in terms of consumer and what you're seeing in spending in different markets you're seeing, please?
Ethan Tandowsky: Sure. Let me start with the cadence. Between halves, we actually expect pretty similar growth rates. I think the only thing that I'd -- I'd call out maybe 2 things. One is that we've seen headwinds from USD. We expect that, that will continue, especially through Q1. That will still be there in the second quarter, but at current rates, at least, that will start to ease into Q2 and then Q3 and Q4 as well. The other thing I'd highlight is that between H1, I would expect that Q1 is a bit lower growth than Q2 given your call out on the APAC retailers. Having said that, if you take it over the year or over the halves, it will be less visible. But I think it is maybe helpful to understand the difference between the first and the second quarter. In terms of the consumer and macro, in general, right, what you get a sense for is some level of uncertainty, right? And people are thinking differently about how -- yes, where their priorities should focus in a time of geopolitical uncertainty. That's where it's best for us to listen, us to be in open ear and connected to our customer. I think the benefit of what we've built is we've built a very global platform. So depending on where priorities shift again, we can support them in that, and it's important that we just deeply understand what's important to them so that we can best solve for them. The reality is that we haven't seen major shifts in our data that we've processed to date. There's nothing specific that I'd call out, right, again, because the macro is also blended with the share of wallet gains that we have, and that's a big component of our growth. So there's nothing specific that I would highlight here.
Maggie O'Donnell: Okay. Thanks for your questions. The next question comes from Harshita at Bernstein.
Harshita Rawat: So 2 questions. One, Ethan, I want to follow up on the guidance philosophy. And I know you talked about the formulaic approach to guidance, for better or of worse, the market rewards beats and positive revisions, which I know is not the game you play, and I also know you don't solve for the short term. But my question is, given the volatility in the stock, is there an update to kind of how you're thinking about guiding going forward on a level of conservatism embedded? Are your internal targets the same as your external guidance? And then, Ingo, a question on agentic. There is this concern amongst investors that you may be behind some of your peers here, which I know is not the case. And I know it's super early days. There's a lot of experimentation and your enterprise customers move at a different pace versus start-ups. You talked about this in your shareholder letter and your remarks, but maybe expand upon why Dynamic Identification is a big asset in agentic, what problems it's solving with regards to trust and identity and intent? And also, how important is it for you to shape the standards being developed, for example, UCP by Google or others?
Ethan Tandowsky: I'll start on the guidance question. So I think in general, yes, our stance is changing because that's why we want to share our annual view. We want to give the latest information we have through our customer conversations and to be honest, those are typically on a 12-month view, right, because that's how they build out their priorities. That's how they build out their road maps. So we wanted to align basically the types of conversations that our customers have with us about their priorities against what we share with the market. And that's why we've made this transition now to getting to this one -- this annual view we'll give each February. We plan to do this again next year. The idea is share the latest information that we have from our customer base. That's also why we share what our expectations are specifically for 2026. So in some sense, it's shifted, but this is just getting us to this new model we plan to go forward with.
Ingo Uytdehaage: Yes. On the second question, we are at the forefront of agentic commerce, and we will certainly show more in the next couple of months because we're working closely with our merchants to implement it. And indeed, Dynamic Identification is key here. And the reason why it's key is because it's ultimately a trust game. So in this new world, we need to know who is the consumer behind the agent and how do we know that we can trust the agent that is indeed acting on behalf of the consumer. And that's where Dynamic Identification really helps. So it helps to look at the signals that we get and compare that to the signals that we have in our system and then come up with the right outcome or decision whether this can be trusted or not. In that sense, it's also very important to shape the protocols with OpenAI, with Google to make sure that, that information is not get lost, and making sure that also our merchants do not lose the connection with the consumer behind the agent because that's one of the key elements that our merchants find important, and we want to make sure that, that connection is not lost. So more to come in the next couple of months. We are very pleased to see what's happening in this space.
Maggie O'Donnell: Thanks for your questions. The next question comes from Bryan at TD Cowen.
Bryan Bergin: So 2 for me, one on Digital and one on market volume growth. First on Digital, just understanding the increased shift to Unified Commerce and the real strong growth there has driven the Digital pillar a bit lower. Just trying to get a sense of what the underlying Digital pillar growth rate really is. So can you give us a sense of perhaps what the level of headwind it presents to digital when recategorizing do you see? And then as you operate this low double-digit level in Digital, is that a sustainable rate? And as it relates to the second question, market volume growth, what's the level of market volume growth that you saw in 2025? I'm curious if it's fair to assume it was at the lower end of the high single to low double-digit range that you previously framed in the framework or perhaps a bit below that?
Ethan Tandowsky: Sure. So let's start with Digital. So indeed, I think 2025 saw a number of factors that you would kind of need to normalize growth against, right? One is currency. We saw that across each pillar, but no different in the Digital pillar that we saw headwinds from -- on the currency side. We also talked about a large Digital customer. So one customer that had more impact, of course, on volumes, but had some impacts on revenues, especially if you cut it down to the pillar level. And then lastly, we saw that we had more customers moving into Unified Commerce in the second half than we had previously seen in other halves. To me, that's a positive, right? That's the execution of a broader expansion strategy, being able to support our customers in more sales channels means that they put more trust, we're able to win more of their share of wallet. So in general, actually, the Digital pillar has been growing pretty consistently over the last few periods, and it feels like a very sustainable level for us going forward. In terms of market volume growth in 2025, the biggest impact that we had on the market volume growth side, and we talked about that in H1, that was the thing that was different than our expectations back then is that we saw this impact from this handful of APAC online retailers. So that brought us indeed towards the low end of our expectations around market volume growth.
Maggie O'Donnell: Thanks for your questions. The next question comes from Pavan at Citibank.
Pavan Daswani: Pavan Daswani from Citi. I've also got a couple. Firstly, following up on the 2026 growth guidance. Could you expand on the customer priorities that you're seeing shift maybe by segment or region? And should we think about this as the new normal as budgets and priorities shift to areas like AI? Or do you expect to see some catch-up effect in 2027 and 2028? And then secondly, you've talked about the large cohort of new wins in 2025. Could you touch on what the sales pipeline looks like for 2026, please?
Maggie O'Donnell: Great. Ethan, do you want to take both?
Ethan Tandowsky: Yes. I want to make this point clearly because it's not that customers' priorities shifted in some way in the last couple of months. It's that priorities look different each year, right? And that's just based on the mix of merchants that we have and what they're focused on in any given year and of course, how the world is developing, how technology is developing, how we can best support them. So each year in terms of where your opportunity is to grow share of wallet just looks a bit different than the last or then the next one will. And that's why we want to share each year our view on the growth for that year because it's ultimately a reflection of what are customers prioritizing in that year and how will we help them with that. We haven't seen that there's been a big shift in priorities. That's not been the case at all nor a willingness to partner with us on those priorities. They're absolutely looking to us to help them with their most important priorities. And I think that's what's key for us. It's key for us to be able to support them with whatever is most important to them in any given year. You did call out AI. Of course, we've talked a lot about agentic commerce, both in the letter and on this call. That is something, for instance, that you see is a priority often for many of our customers. It may not be the first priority, but it's somewhere in the top few priorities that they're looking at how can they best set themselves up in this world, even knowing that revenues may not come from it in 2026 nor maybe even in 2027. That's much more a long-term play. In terms of sales pipeline for 2026, I mean, we continue to see really good traction on the new business side. We talked a lot about the 2025 cohort. Of course, the 2026 cohort is very early days, but everything that we see in the pipeline across pillars looks like a continuation of what we've been able to build through 2025. So we're well positioned to win across each of them.
Maggie O'Donnell: Thanks for your questions. We have time for one more question, and it's going to come from Josh at Autonomous.
Josh Levin: Josh from Autonomous Research. I just really want to clarify what you mean by shifting priorities. It would be really helpful if you could give a specific example of -- 1 or 2 examples where a merchant has said we are going to now prioritize X versus Y, and therefore, you decide to -- you need to sort of lower your growth forecast a little bit. If you could really define X and Y, that would be really helpful. And then secondly, putting aside just this quarter, I mean, there's been a lot of weakness in the stock price. What is the single biggest disconnect you see between how Adyen is performing internally and how investors might be interpreting the story externally? And what could help close that gap?
Ethan Tandowsky: Thanks for giving me the chance to clarify because, again, I find this important. It's not that we've lowered our view of our growth for 2026. It's that we understand where the priorities of our customers will be in a deeper way and can share that, right? And it's not about shifting priorities. It's about understanding where the focus of our customers will be in the following year, right, in any given year. I can give a couple of examples where things change from year-to-year, right? One of the reasons that we're seeing strong growth in Latin America, for instance, is not only that we've been investing a lot in the product over the past years, and we've built up a great team there, and we have a strong offering, but also because as there was some geopolitical tensions, some of our international, especially retailers, shifted some of their focus more towards that market. right? That's one example of where you might see a bit of a shifting priority. But it's not that priorities have shifted in a big way, and that's what's led to a lowering of our view. It's just we have a good reflection, a refined reflection of our expectations for 2026, and that's what we share. Now those opportunities have a balance of when they drive revenues. Some of them drive revenues more short term, some of them drive revenues more long term. But you need to be there with your customers again, working on what their priorities are.
Ingo Uytdehaage: On your second question, like we're building the company for the long term. And I think that's very important because if you ask me, do I have confidence in how we're building for the long term and do we have a long-term growth trajectory, my answer is a full yes. And I think what I find sometimes difficult to understand is why on the short term, the reaction is so intense, because the long-term perspective for us does not change. And I think that's what we try to be helpful to be transparent, and I understand that a lot of short terms ultimately end up to the long term. But we think that too much focus on the short term is not helping us in that long-term execution. And I think that is potentially something that we can explain better. But in all the decisions that we make as a Management Board, we only take the 3 to 5 years perspective and not this year's perspective. And I think that's something that I always like to highlight talking to investors.
Maggie O'Donnell: It's a great place to end. Thanks, everyone, for joining us today, and we'll see you next time.